Operator: Welcome to the RF Industries' Second Quarter Fiscal 2019 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this call is being recorded today, Wednesday, June 12, 2019. At this time, I would like to turn the conference over to Mr. Todd Kehrli of MKR Group. Please go ahead, sir.
Todd Kehrli: Thank you, operator. Good afternoon and welcome to RF Industries' second quarter fiscal 2019 financial results conference call. With me on today's call are RF Industries' President and CEO, Rob Dawson; and Chief Financial Officer, Mark Turfler. Before I turn the call over to Rob and Mark, I'd like to cover a few quick items. This afternoon, RF Industries issued a press release announcing its second quarter fiscal 2019 financial results. That release is available on the company's website at rfindustries.com. This call is being broadcast live over the Internet for all interested parties and the webcast will be archived on the Investor Relations page of the company's website. I'd like to remind everyone that on today's call, management will make forward-looking statements that involve risks and uncertainties. Please note that except for historical statements, statements on this call today may constitute forward-looking statements within the meaning of Section 21E of the Securities and Exchange Act of 1934. When used, the words anticipates, beliefs, expects, intend, future and other similar expressions, identify forward-looking statements. These forward-looking statements reflect management's current views with respect to future events and financial performance and are subject to risks and uncertainties and actual results may differ materially from the outcomes contained in any forward-looking statements. Factors that could cause these forward-looking statements to differ from actual results include delays in development, marketing or sales of products and other risks and uncertainties discussed in the company’s periodic reports on Form 10-K and 10-Q and other filings with the Securities and Exchange Commission. RF Industries undertakes no obligation to update or revise any forward-looking statements. I’ll now turn the conference call over to Rob Dawson, President and Chief Executive Officer. Go ahead, Rob?
Rob Dawson: Thanks, Todd. Good afternoon, everyone and welcome to our second quarter fiscal 2019 earnings call. We're pleased to report a strong second quarter with solid sequential growth in both our revenue and net income over the first quarter. We grew net sales 28% sequentially in Q2, reflecting quarter-over-quarter growth in both of our reporting segments. Net income was up 66% sequentially, reflecting our continued progress with improving efficiencies and controlling G&A and highlighting our ability to be profitable at varying levels of revenue. Our backlog at the end of Q2 was just above $10 million, which is our third straight quarter with backlog over $10 million. Now let's take a moment and talk about it one final time. In Q2, we were up against a very tough comparison to last year's second quarter, which was our largest quarter ever in the company history by far, with $20 million in sales. Due to last year included several large orders from one customer that we don't expect to repeat at that same level. I said it at the time and again on every quarterly call since. We're not yet to the point of consistently delivering $20 million quarters and that we shouldn't expect that size quarter again in the short-term. I've also said all along that when given these kinds of opportunities, it's important to address head on the possibility that it won't repeat right away, but you have to leverage the win as a bridge to transform the company into what's next. In hindsight, it's kind of ironic that somehow our huge Q2 last year might not have been recognized for what it has allowed us to leverage. It gave us a solid new customer that we've turned into a long-term relationship with meaningful orders for similar products continuing every quarter since, including the current quarter. It proved to us that we can execute at a very high level when faced with some tough timelines. We were asked to deliver at an incredible volume, and we did. It also reiterated that we have products and capabilities that can flourish in a very competitive marketplace. And it added significant cash to the balance sheet, which we are focused on responsibly redeploying to grow and transform the company. Finally, while our step change in revenue last year included this huge chunk of sales in Q2, we continued producing larger quarterly results over the last year compared to historicals, positioning us for another strong year this year. Now back to the current results, the sequential increase in our top line in the second quarter was driven by both organic growth in the low-double digits, as well as inorganic growth from our recent acquisition of C Enterprises, which contributed about six weeks of results in the quarter. The C Enterprises team has been executing well, and I'm pleased to note that since the acquisition, we've already seen a significant increase in the volumes they're producing compared to historical levels. During the quarter, we saw continued to spend from our Tier 1 wireless customer, while also seeing continued growth in our OEM segments and increased business from our distribution channels and other key applications like traditional macro sites, public safety, and distributed antenna systems. A good measure of the positive progress we're making with leveraging our distribution channels is the significant growth we're seeing in our RF Cable and Connector business, which grew 22% year-over-year in Q2. This is the second straight quarter of double digit growth year-over-year for this business segment, highlighting the benefits we're starting to see from our focus on driving more business through distribution. While wireless continues to be our biggest growth opportunity, we're also seeing upside in OEM market segments. These segments are primarily the industrial markets, such as manufacturing, defense, aerospace, oil and gas, transportation, mining, agriculture and others. During Q2, specifically, we benefited from business in rail and public transportation applications, as well as with our traditional industrial manufacturing customers. As we've noted before, our growth strategy focuses on both generating organic growth, which we did this quarter, as well as opportunities for inorganic growth. Our acquisition of C Enterprises during the second quarter gives us a solid fiber optic offering that’s scalable and complimentary to the rest of our business. Additionally, we believe we can leverage their manufacturing capabilities to strengthen our small cell product offering to the wireless market, providing an opportunity for future revenue growth as the 5G rollout and the related densification investment starts to gain steam. While we've not yet seen this positive impact to small cell spend with C Enterprises, we are seeing significant increases in their historical volumes in core telecom and fiber and data cable offerings. We're also seeing that as we acquire companies, we can provide a reinvigorated approach to growth when they're aligned around a bigger goal. We're very happy with the addition of C Enterprises, and how well they’ve fit with our growth oriented company culture. As importantly, we feel that this acquisition was a great use of capital to grow the business. We feel that we negotiated a positive deal for everyone involved and we're pleased that we're already showing accretive results. We remain committed to both accelerating our growth organically and by adding growth through acquisitions. As we've mentioned on past calls, on the M&A front, we were committed to doing at least one acquisition this year, and we did. While we continue to pay a nice dividend, we believe that the bigger opportunity for us is to invest in our growth. Our balance sheet remains strong and provides us with significant resources to pursue additional acquisitions that makes sense. We still see some interesting candidates in the marketplace, and there's still the possibility of additional acquisitions this year. As far as acquisition targets, had a handful of conversations that are always down the path. Generally, I'm interested in companies in the $10 million to $20 million revenue range, with similar products and channels to ours to give us access to a new product set and new customers or segments. As I mentioned earlier, one area of focus is expanding our overall offer of the small cell bill of materials so that we can capitalize on the upcoming 5G densification opportunity, but we're also looking to potentially own other passive components that we can sell through our growing distribution channel. We're very focused on culture when we review potential acquisitions, as we can benefit from an easier integration when light minds are involved and accelerate the process of moving the business forward. Finally, I'm interested in talent to elevate our team and help drive our growth. As I've said, in the past, when it comes to M&A, I'm focused on getting it right and not just doing it quickly. One bad acquisition can set back a lot of the hard work that we've been doing. Continuing on the topic of the evolution of the company, we're very focused on a positive growth culture with a sales mindset. We're at a stage where it makes sense for us to add and upgrade talent and key roles in the company. And we're working hard that as we find savings through synergies and redundancies, we redeploy a portion of that capital to invest in the right talent to help us grow. We have some great things happening, and we want to keep the momentum going. We're currently reviewing our overall sales structure and expect to launch a new sales organization to capitalize on our one company approach and offer to the market and to further evolve our approach of doing business the way our customers do business. We also have some best practice work to do on our operations and facilities, and think that over the next several quarters, we can make even more progress towards operating better as one company. Related to our evolution, as you saw in our press release yesterday, we have added Sherry Cefali to our Board of Directors. Sherry has over 25 years of experience rendering fairness and solvency opinions and determining valuations of companies and securities. For extensive experience in mergers and acquisitions and company valuation work will be extremely helpful to us as we continue to pursue acquisitions as part of our growth strategy. I'm very pleased to have Sherry join our board, and look forward to her contributions as we continue executing on our plan for long-term growth. On a related topic, as you'll see in our filing, William Reynolds, one of RF Industries long standing directors informed the board that he will retire from the Board of Directors immediately before this year's annual meeting of stockholders, and he does not intend to stand for reelection this year. I personally want to thank Bill for all of his contributions to the company over the years, and we all wish him well on his retirement. Returning to the results. While we're still in the early phase of a multi-year transformation of our company, we're pleased with the steady progress that we're making. At the halfway point of this fiscal year, we've generated over $24 million in net sales, compared to $28 million, through the first six months of last year, which included that huge $20 million Q2. I'm very pleased with where we are so far for the year and we're getting better at delivering consistent and more predictable results. We still have lots of hard work ahead of us, but to be only a few million dollars in sales behind last year's breakthrough results at this point is a positive position to be in. While our Tier-1 wireless carrier customer continues to spend as expected is at a lower pace so far compared to last year. It's important to note that we do lots of other business in the wireless market through our distributors with contractors, neutral hosts, two way radio customers and tower companies. We're building and deploying traditional cellular macro sites, distributed antenna systems, indoor and outdoor public safety networks and others. And we've also been performing well in growing our business in other markets. We see all of that is very positive. So with the coming 5G rollout, and the related spend on densification, we feel we're well positioned for additional growth. It's important to remember that the 5G spend is as much about coverage everywhere as it is speed. And that coverage everywhere idea fits perfectly into our growing DAS product business and the coming small cell waves. While the wireless market is our biggest growth potential in the short-term, we have major opportunities for growth beyond wireless as we continue to leverage and expand our distribution channels and improve our execution. As we look to Q3, we expect another strong quarter with both sequential and year-over-year revenue growth. And we expect to continue to be profitable on the bottom line. With that, I'll now turn the call over to Mark for a detailed review and discussion of the financial results for the quarter. I think I wormed up the crown [ph]. Mark?
Mark Turfler: Thank you, Rob and good afternoon, everyone. Net sales in the second quarter 2019 were $13.6 million, a sequential increase of $3 million, or 28% compared to the preceding first quarter and $20.5 million in the second quarter a year ago. The sequential increase in sales was driven by both project work in the OEM and wireless carrier market and increases in traditional run rate business as well as six weeks of revenue contribution from C Enterprises, which we acquired during the quarter. The year-over-year decline in sales is the result of the largest series of orders in company history that we recorded in the second quarter a year ago. Gross profit for the second quarter was $4.1 million, a sequential increase of $949,000 or 30%, compared to $3.1 million in a preceding first quarter, and a $7.6 million in the second quarter last year. Gross margins were 30%, comparable to the prior sequential quarter. Despite the tariffs and other macro pressures that are part of the current economic environment that most everyone's dealing with, we are pleased to continue to maintain solid margins. Selling and general expenses were $2.4 million, compared to $2 million in the preceding first quarter and $3.1 million in the second quarter last year. Selling and general expenses as a percentage of sales for the second quarter were 18% compared to 19% of sales in the preceding first quarter, and 15% of sales in the second quarter of fiscal 2018. Selling and general expenses included one-time cost of approximately $100,000 related to our acquisition of C Enterprises during the quarter, excluding their related costs, selling and general expenses as a percentage of sales in Q2 would have been 17%. Net income for the second quarter with $1.1 million, or $0.11 per diluted share, a sequential increase of 66% from the preceding first quarter and compares to net income of $3.2 million, or 34% -- $0.34 per diluted share in the second quarter of fiscal 2018. The decline in net income for Q2 2019 as compared to Q2 2018 again was the result of the largest series of orders in the company's history in a year ago second quarter. Turning to the first six months of fiscal 2019, net sales were $24.3 million, compared to $28.5 million, which included the huge Q2 results in the first six months of fiscal 2018. Gross profit for the first six months was $7.2 million, compared to $10.1 million, while gross margins were 30% of sales, compared to 36% of sales in the same period last year. Selling and general expense were $4.4 million, or 18% of sales, compared to $4.8 million, or 17% of sales in the first six months last year. Income from continuing operations for the first six months of fiscal 2019 was $1.7 million, or $0.17 per diluted share, compared to income from continuing operations of $3.5 million, or $0.38 per diluted share in the same period last year. Total cash and cash equivalents were nearly $14 million at the end of second quarter, essentially unchanged from the previous quarter. Our current backlog stands at $10 million, which is our third straight quarter with backlog of over $10 million. That concludes my discussion. I'll now turn the call back to Rob.
Rob Dawson: Thank you, Mark. As our financial results illustrate our strategy for long-term is beginning to pay off. We generated solid sequential growth in sales in the second quarter, reflecting growth in both of our reporting segments. This increase included both organic growth in the low-double digits and inorganic growth from our recent acquisition. We remain very focused on our key initiatives to leverage our strong customer relationships and channel partnerships to further expand our footprint in the marketplace. And to do so in a profitable manner, as we accelerate the work on our three year plan to grow to $100 million in sales. We appreciate the partnerships with our customers, distributors and suppliers, the hard work of our employees and the support of our shareholders. With that, I'd like to open the floor to questions. Cody, we're ready to take our first question.
Operator: Thank you. [Operator Instructions] We'll take our first question from Aman Gulani with B. Riley FBR.
Aman Gulani: Hey, guys. Hey, thanks for taking the question. First question I guess, are you seeing any supply chain or a pipeline disruption from the comp administration to tariffs on China, and maybe to a lesser extent Mexico?
Rob Dawson: Yes, thanks. We're certainly seeing and it's not new, but I think we're seeing it from China in particular. It started probably toward the end of last calendar year, and we've generally mitigated it. But it's not always a direct -- I think to your question, it's not always a direct impact. Sometimes it's just a slower supply chain, that we can't quite put our finger on why something slowed down, because we may be even buying from someone in the United States. But they may be getting products from somewhere overseas. And so we see some of it, I think, we saw a little bit of hard impact from the tariffs, small dollar amount, and I think we've generally mitigated it. But it's definitely, I think, causing just the speed of execution kind of challenge in the supply chain overall. Nothing from Mexico that we've experienced so far.
Aman Gulani: Got it, that's helpful. Okay. And then can you talk about the C Enterprises acquisition how that's performing relative to your internal expectations?
Rob Dawson: Yes, sure. So they I think as some of the comments talked about, we're happy with what they're doing. Last calendar year, they did $8.7 million in sales in the six weeks that we had them in the quarter, they were at a run rate that was better than that, I think we're pleased with the way they're executing. We expected them to be a creative this year, and they have been thus far. We're pleased with that as well. And then, I think the final piece was just love to have in the team as part of RF Industries, they're responding well to being a part of it, and cross selling between the different kind of historic divisions that we've had the different product areas. Love the relationships they have with customers and how they're executing, they've got a great operation. And we're thankful to have found them and been able to work what I think is a really good deal for everyone involved. And, they're executing really well as part of the company.
Aman Gulani: Thank you. Okay. And last question for me, and I know you've already talked about M&A a little bit, but if you could give me a little bit more color on the pipeline for any potential tuck-in acquisitions. And then maybe if you could touch on your specific capabilities that you might be looking for. And then the last part of that question, how might you find that to the potential future acquisitions?
Rob Dawson: Yeah, sure. So I think that from a pipeline perspective, I guess, the overtone to the whole thing is I like passive components. And I've said that before, but it's I think, just to make sure everyone understands what I mean by that. Radios and Ethernet switches and routers, and sort of the active components that cause a network, I think are harder for a company to pull off at our size, just from an R&D perspective. I think it's tough to get it right. And so, I like passive components, wire, cable, power, and closures, maybe antennas, those kinds of things are concrete. I like to say it's great concrete you pour it, it stays that way 50 years, of still great concrete, I like that. It's easy to understand, it has a core infrastructure need across a lot of applications. And so when we look at a pipeline, you can assume as those kinds of companies that are in there offering wise. Like companies that are able to make money and be profitable. And then how do they go to market, ideally, they would go to market in a way that's consistent with using distribution or some portion of distribution. And I think, sales wise $10 million to $20 million in sales. I think I've said before, if I could find more transformational deals that’s larger than that, I would absolutely be interested in it. I've not found that so far, at least one that's interested and that makes sense for us. And so that may lead into the how do we finance it kind of question. I think if we had to take on some debt, we would absolutely do it. We're pretty -- we're in pretty good cash position at the moment sitting somewhere in the low to mid-teens. So we've got cash to be able to do deals. I think we would -- the larger the deal, the more transformational, we would likely go the debt financing route versus using that I think our stock at this point -- the paper is not quite worth what I think it should be. And so, opinion wise, that's probably not the right vehicle for us to use. So general answer is we would likely take off some debt to pull off something if we needed it.
Aman Gulani: Got it. Thank you very helpful. I'll pass it on.
Rob Dawson: Cool, thank you.
Operator: Thank you. We'll take our next question from Chris Chowsky [ph] with -- a Private Investor.
Unidentified Analyst: Hello, good afternoon, and congratulations on great quarter.
Rob Dawson: Thank you.
Unidentified Analyst: So a lot of my questions were already answered. I just want to make a statement that as a shareholder appreciate your statement that you're not looking to use stock for acquisitions, I think for thinly traded stock that's very dangerous. So I appreciate that, and I think we all appreciate that. My -- let me see what questions hasn't been answered. So can you tell us whether you plan on having a sequential organic growth in the next quarter?
Rob Dawson: Yes, so sequential meaning, Q3 over Q2, is that what you are asking.
Unidentified Analyst: Yes.
Rob Dawson: Yes. So I think that's kind of the I guess the punch line to my statement, as we wrap, before we started taking questions is that our expectation is that [indiscernible] going to give us growth over Q2. And, at this point, we're expecting that to be organic and that'll also be year-over-year growth in that scenario. So whether it's Q3 over Q3 last year or Q3 over Q2, our expectation is that we’ll grow over the quarter.
Unidentified Analyst: Yes, but in Q3, you have a full quarter of C Enterprises, so not all of your growth will be organic. So do you anticipate some organic growth in addition to that?
Rob Dawson: Yes, I think we do. I mean, the plan all along is for us to -- on a quarterly basis layer organic growth along inorganic growth. I think one of the nuances to that is, once we buy something, and I think in this case, looking at C Enterprises, we're already starting to see sort of this cross pollination of sales of products from one historical company, through what would have been another. And so it gets a little -- the line gets a little blurrier around what's organic versus not at that point, because it’s not product that’s necessarily would have been sold that same way. So my very simple way of looking at it is, we need to sell stuff, and we need to make stuff. And I don't really care who's selling it, which historical division or where it’s going, we need to look at the overall goals of the business in total. And I think that's generally where we've got people focused. And so while our expectation is organic growth, and then layering in the acquisition growth, it gets a little tougher for me to tell the difference, I guess, in pieces of the revenue going forward.
Unidentified Analyst: Okay, I appreciate that. And about the backlog, you increased revenues, again sequentially, but the backlog did not increase. That's something we should be worried about, or is the -- I'm sure you do a lot of business that doesn't get reflected in backlog because it gets booked and shipped in the same quarter. But is there anything in the backlog?
Rob Dawson: Yes, so I don't have any concerns on the backlog, I actually think it's a great number. Just to recap a little bit, if we look historically prior to 2017 the backlog was $2 million, $2.5 million, [indiscernible] we're now seeing it sitting at $10 million, $8 million, $12 million, which quarter you look at over the last six quarters or so. So I think the fact that we're disclosing it’s good we’re telling story. It's indicative of just -- there's a healthy amount of business sitting there. But your point is a good one that we do a huge amount of bookings business, it's fast turn, where you're really getting a snapshot of the end of the specific month that happens to be the end of a quarter, we're talking about backlog. So it's not always reflective of what it might be at any given second, it just happens to be the moment we look at it and I think north of $10 million, I’m pleased with that number.
Unidentified Analyst: All right. And lastly, did you disclose the purchase price for C Enterprises?
Rob Dawson: It's -- yes, it's in the queue that for this quarter. It's in there. So it's less than a $1 million. You'll see the specifics in the queue.
Unidentified Analyst: Okay. All right, thanks. That's it for me. Good luck.
Rob Dawson: Sure, thank you.
Operator: We will now take our next question from Aaron Martin with AIGH Investment Partners.
Aaron Martin : Hi, Rob, hi, Mark. Congratulations and I apologize for the background noise, with my kids. Most of my questions have been answered, but I want to go back to the backlog question, was the C Enterprises any of the backlog from them, and were they also primarily a book and ship company? And perhaps that's why some of the total revenue growth just shows up in more growth from the backlog?
Rob Dawson: Yes, so a small portion of the backlog would be attributable to them. But yes, most of what they do is book and ship the real fast earned stuff. So yes, you're right with your assumption.
Aaron Martin : Okay. I think that covers and most of the other questions were answered and we'll follow-up offline. Thank you.
Rob Dawson: Okay, thanks.
Mark Turfler: Thanks, Aaron.
Operator: Thank you. We'll take our next question from Hal Granger, private investor.
Hal Granger,: Hi, Rob and Todd and Mark, thank you for taking my questions. I’ve got a few comments and a few questions if that's okay.
CFA: Hi, Rob and Todd and Mark, thank you for taking my questions. I’ve got a few comments and a few questions if that's okay.
Rob Dawson: Sure.
Hal Granger,: I'm pleased with your quarterly results. So let me start at 40,000 feet. Rob as I've told you before, I'm a big fan of your management style. And in particular, the putting out a public metric of growing the company to $100 million in sales over three years. So doubling the company over three years. I think that's a fantastic example, for other peer group and small cap peer group. And that's something that others should emulate.
CFA: I'm pleased with your quarterly results. So let me start at 40,000 feet. Rob as I've told you before, I'm a big fan of your management style. And in particular, the putting out a public metric of growing the company to $100 million in sales over three years. So doubling the company over three years. I think that's a fantastic example, for other peer group and small cap peer group. And that's something that others should emulate.
Rob Dawson: I appreciate that. Thank you.
Hal Granger,: But that's not all. I'm also a big fan of your -- of the 2019 corporate goals of cash and equity incentive plan, which was exhibit 1024 in your K. And in particular, the focus on earnings per share, which as an equity investor, I love to see companies focused on earnings per share. That's another thing which other companies should emulate and I guess some of it hasn’t -- some of the credit, I suppose goes to you, Rob and some to you Mark and some of the compensation committee I think that [indiscernible]. So -- but I think that's, that's a great, that's a great example. If I can make one point, so it's really fantastic. I'll make the point that RH, Restoration Hardware in their 2017 proxy, they added also to not only earnings, but also stock price. But that's extremely unusual. What I don't like is when companies tie their management bonuses into things like EBITDA because the DE, of course, as depreciation, which could be from plants, which were built decades ago. And I don't really see that as being a great incentive for performance today.
CFA: But that's not all. I'm also a big fan of your -- of the 2019 corporate goals of cash and equity incentive plan, which was exhibit 1024 in your K. And in particular, the focus on earnings per share, which as an equity investor, I love to see companies focused on earnings per share. That's another thing which other companies should emulate and I guess some of it hasn’t -- some of the credit, I suppose goes to you, Rob and some to you Mark and some of the compensation committee I think that [indiscernible]. So -- but I think that's, that's a great, that's a great example. If I can make one point, so it's really fantastic. I'll make the point that RH, Restoration Hardware in their 2017 proxy, they added also to not only earnings, but also stock price. But that's extremely unusual. What I don't like is when companies tie their management bonuses into things like EBITDA because the DE, of course, as depreciation, which could be from plants, which were built decades ago. And I don't really see that as being a great incentive for performance today.
Rob Dawson: Yes, I think for us, we want to tie and this is something that I think came with me and supported by the Board and by Mark and the team that we want to make sure that -- I'm a pretty pragmatic guy. So if shareholders are expecting a profitable business, then we're going to tie our team to a profitable business. I need everybody having the same goals. And we've trickled that down, not just from shareholders, if we're going to be a public company and have people investing in it. My goal should be tied to that same expectation. And then, within the company, everyone's goals should be tied to that, whether that's an individual sales person, who's driving growth within an account base, or otherwise. And so I think I'm a pretty strong proponent of -- if everyone's looking at compensation, generally the same way around goals. It makes for a lot less battles.
Hal Granger: Right. Yes. So I completely agree. I would note that what you're doing in my mind is somewhat unusual, and it's highly commendable.
Rob Dawson: I appreciate that.
Hal Granger,: Okay. So and along with doing the best you can. So you’re recognizing the importance of acquisitions in your growth strategy. I think it's fantastic that you've added Sherry Cefali to the board with her extensive experience in M&A and valuation. So congratulations on that.
CFA: Okay. So and along with doing the best you can. So you’re recognizing the importance of acquisitions in your growth strategy. I think it's fantastic that you've added Sherry Cefali to the board with her extensive experience in M&A and valuation. So congratulations on that.
Rob Dawson: Thanks. Yes, we're excited about, Sherry, joining. So it's great to have her.
Hal Granger,: So regarding acquisitions. So in your Q that just came out moments ago. You identified the cost as $600,000 plus liabilities. So you say less than a million. The revenues I forget when it was, was it LTM or before you bought it over $8 million. So that seems like a very appealing acquisition. And rather than asking you why you guys wanted to do that acquisition, can we flip that around and can I ask -- it seems to me that C Enterprises wanted to join you. So what did they see do you think in joining you that was so appealing?
CFA: So regarding acquisitions. So in your Q that just came out moments ago. You identified the cost as $600,000 plus liabilities. So you say less than a million. The revenues I forget when it was, was it LTM or before you bought it over $8 million. So that seems like a very appealing acquisition. And rather than asking you why you guys wanted to do that acquisition, can we flip that around and can I ask -- it seems to me that C Enterprises wanted to join you. So what did they see do you think in joining you that was so appealing?
Rob Dawson: Yes, so I think, the biggest thing to summarize, I think for them and I can't speak on their behalf other than through our conversations, there's recognition that it's hard being a small company. And this is a tough space. And so some economies of scale and some leverage overall across a bigger business with more customers by a bigger sales structure and bigger pockets to back some things. I think that helps in almost any case. And so what we saw was combining some operations would give them the benefit of some growth opportunities and give a lot of really good people and opportunity to do more. And, their ownership team was a great group, enjoyed working with them through the process. And I think their recognition, very similar to the way I look at things, their recognition of what's best for people, and how we could work together to have a good outcome really came through in the conversations. And so, I think we drove a good outcome for them and for us, I feel great about it. And I appreciate what they've what they brought to the table so far and where we're looking forward. So I really think it was just more about a larger organization giving an opportunity there.
Hal Granger,: Right. Okay. So Rob, you said it would be accretive or maybe Mark said it was a accretive, accretive to earnings per share? How are you measuring accretive?
CFA: Right. Okay. So Rob, you said it would be accretive or maybe Mark said it was a accretive, accretive to earnings per share? How are you measuring accretive?
Rob Dawson: Yes, just in the standard way, we're looking for profitability coming out of that business. So we're expecting this fiscal year to see a portion of our profitability coming from the C Enterprises operation.
Hal Granger,: Okay, great. Can you quantify, so you had this the big -- you had a series of big orders from a customer in fiscal 2018, which drove record sales for you guys. And now Rob, you mentioned, that's continuing so far this fiscal year. Can you quantify how much of this year sales come from that same customer? Or, or maybe more, particularly from the same project?
CFA: Okay, great. Can you quantify, so you had this the big -- you had a series of big orders from a customer in fiscal 2018, which drove record sales for you guys. And now Rob, you mentioned, that's continuing so far this fiscal year. Can you quantify how much of this year sales come from that same customer? Or, or maybe more, particularly from the same project?
Rob Dawson: Yes, so we're not breaking it out that way from a disclosure perspective, but I think that the way we look at it or the easier way to talk about that versus specific dollars from that customer, it relates more that we've seen growth in the rest of our business at a much higher rate. So our distribution business is growing significantly, as measured by our RF coax and connector business, which was up 20% percent this quarter, and even larger last quarter. So we're seeing that the percentage of the business, it's still a meaningful customer, and we love them, and we want to keep that going forever. But we're seeing the rest of our business grow at a larger clip to help keep the business going. And our concentration is coming down as a percentage over what you would have seen in any of our Qs last year. So that's a -- I think that's a healthy statement on you we're focused on making sure we're diversifying as much as we can. And I think one of the things I said in my prepared comments was recognizing that a big opportunity gives you a chance to bridge to whatever's next for the company. And so we're accelerating around that concept that yes that was some big numbers, those numbers are not the exact same quantity as they were last year and this year. Okay, great, let's take advantage of a really great new relationship and some recurring revenue coming from that and some profitability related to it, to really perform at a much higher level and springboard to what's next, which I think we're doing pretty well.
Hal Granger,: Right, great. Okay. Rob, you mentioned that a change in the sales organization, as I understood what you said. How is the new sales model different than the previous sales model before you arrived?
CFA: Right, great. Okay. Rob, you mentioned that a change in the sales organization, as I understood what you said. How is the new sales model different than the previous sales model before you arrived?
Rob Dawson: Yes, so I think there is probably a few things generally in that, one is taking advantage of the one company approach and making sure that our complete offer is available to any customer and they're clear on, who we are in total, what are the different things we can do copper, fiber, coax, multi-conductor, large, small sort of there's a broader offering that we have that I want to make sure we're blanketing existing and new customers with that offer in total. So they hear it as one company and one overall opportunity to work with us. The second piece of it is, we've really doubled down on distribution as a key driver for our growth. So we've always used distribution in a portion of our business. We will always have a portion of our business that's more OEM centric and direct because it's more elaborate, it would be harder for a distributor to put that on the shelf and have a run rate kind of business, so we're always going to have a mix. But with that said, we've really, in the business for us that is distribution friendly, and the RF coax and connector businesses is the most obvious. We're trying to run every penny of that through distribution, which is different than what we would have done in the past and C Enterprises as much the same way, the majority of their business is distribution centric with a smaller portion being more OEM, elaborate kinds of solutions. So we want to pull that together, make sure we're handling those distributors the right way. And we're set up in a model that structurally allows us to do business the way they want to do business, joint marketing plans, leveraging the size and scope of who they are. So they're a force multiplier, which I have a background with some distribution in it. And I love distribution. I think for the right kinds of products it's a great place for us to be and we're doing a good job with it and we've got a chance with a little bit of restructuring to just make sure our resources are focused on handling and managing distribution and as strongly as we can.
Hal Granger,: Right. Okay, great. One my final question, you mentioned 5G, I guess, kicking in at some point in the future, if I understood that correctly, what are you thinking about when that might be?
CFA: Right. Okay, great. One my final question, you mentioned 5G, I guess, kicking in at some point in the future, if I understood that correctly, what are you thinking about when that might be?
Rob Dawson: Yes, so we're seeing little kind of drifts and drabs of it now and there's obviously deployments happening. So I read the news, like everyone and we're all going okay, so it's happening. It is and each carrier is doing a nice job of turning up one or more cities with different technologies, whether that's more fixed or mobile, which is now coming online. I think the real spend though, I expect to see it next calendar year early. My opinion and again everyone's kind of got a different exact opinion. There's some of it happening now, we know we're selling some products into the densification effort around 5G, we know we've put some hybrid fiber cables out in the market around more traditional tower based 5G, but I think the consistent spend, and the increase around it, small cell is a great example. There's still a lot of questions that each carrier or neutral host company has around the final design for small cells, how that’s going to be deployed, which technology is in there. I think it's great that I see it all as opportunity, but I expect that we're in the infancy of the spend and I think we'll see it ramp over the next 12-24 months in a pretty meaningful way. I would expect 5G to have a pretty long tail to it, from a spend perspective. We're going to be deploying millions of small cells across the country that’s not a fast thing.
Hal Granger,: Right. So is it going to be -- would you expect it to be kind of delayed and then hit in next calendar year? And or you see it gradually ramping up during -- between now and then?
CFA: Right. So is it going to be -- would you expect it to be kind of delayed and then hit in next calendar year? And or you see it gradually ramping up during -- between now and then?
Rob Dawson: Yes, I think it's interesting. From our perspective, we're small in the space, we're getting a very small percentage of that total spend, and our products -- depending on the solution, our products may show up early in the cycle or as kind of a last touch. Oh, yes, we need these cables as well everybody handles that deployment differently. But I think for us, we expect that it's going to continue kind of halting at the moment it’s a start and stop kind of thing where we see some and then it slows down and we see some and it slows down. I think it'll get more consistent for us going into next year. I'm not exactly clear at this point on do we see a massive volume increase. I think the opportunity for that’s there positioning today, the hardest part for us is to recognize when we sell a cable into a distributed antenna system, is it public safety, is it 4G, is it 5G, is it something else, we can’t always tell, some of those are pretty consistent products across them. So, I expect the larger spend around radios and the mega deployments coming in next year I think for us, we'll see a consistent opportunity for that spend to grow. I just don't think we see it the same way as someone who makes one of the base station radios or there about.
Hal Granger,: Okay. Where these orders be coming from the same customer, was a big -- putting the big orders last year?
CFA: Okay. Where these orders be coming from the same customer, was a big -- putting the big orders last year?
Rob Dawson: Well, I think we expect that business to continue, we've done -- our sales team has done a great job of taking care of that relationship, our production team has done a great job of executing to put out some pretty significant volume on those products. So we expect that to continue, but I think we also need to -- when we look at our low PIM Cable Assembly business, for example, which is traditional coaxial cable, we're selling a ton of that into that solutions than into small cell solutions that that to an earlier point, it's not always easy to tell, is that true 5G or is that just identification or both. So I think we're going to see growth from our core business and our core products. I think the spend in the Tier-1 space from the one large relationship we talked about. I expect that to be consistent spend, but not the -- what we know today we're not expecting the big kind of lump that we saw of orders in a short period of time last year.
Hal Granger,: Okay, okay. And then once 5G hits, how long do you expect it to continue?
CFA: Okay, okay. And then once 5G hits, how long do you expect it to continue?
Rob Dawson: Yes, I mean, I have a very long expectation for what we're calling 5G, whether that's turning on macro sites, kind of traditional macro tower sites and rooftop sites in more urban areas, or densification at street level, small cell DAS in buildings and other venues and then you got to hit the rural markets. So it's going to take a while, I mean 4G spend still happening right now. So I don't look necessarily at the generational aspect of -- is it going to be a short window or a long window. I think when we have new technology and it starts to have uptake, it's going to take a while for that to deploy. So I'm expecting 10 years, I don't know a long period of time, I don't think it's going to be a short window expect a long tail around that build.
Hal Granger,: Okay. Great. Thank you very much.
CFA: Okay. Great. Thank you very much.
Rob Dawson: Thanks. Appreciate it.
Operator: [Operator Instructions] It appears, there are no further questions in the queue at this time. I just comes back over to management for any additional closing remarks.
Rob Dawson: Great. Thanks, Cody. And thanks everyone for your interest in support of RF Industries. We look forward to reporting our third quarter of fiscal 2019 results in September. Thanks for joining our call and have a great day.
Operator: Thank you. This concludes today's conference. Thank you all for your participation. You may now disconnect.